Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Fortinet Second Quarter Earnings Announcement Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Peter Salkowski. Thank you, and please go ahead, sir.
Peter Salkowski: Thank you, Chris. Good afternoon, everyone. This is Peter Salkowski, Vice President of Investor Relations at Fortinet, and I am pleased to welcome everyone to our call to discuss Fortinet's financial results for the second quarter of 2020. Speakers on today's call are Ken Xie, Fortinet's Founder, Chairman and CEO; and Keith Jensen, our Chief Financial Officer. This is a live call that will be available for replay via webcast on our Investor Relations website. Ken will begin our call today by providing a high-level perspective on our business. Keith will then review our financial and operating results for the second quarter, provide some additional details regarding our second quarter performance and some insights into how July performed before providing guidance for the third quarter of 2020. We'll then open the call for questions. [Operator Instructions] Before we begin, I'd like to remind everyone that on today's call, we will be making forward-looking statements, and these forward-looking statements are subject to risks and uncertainties, which could cause actual results to differ materially from those projected. Please refer to our SEC filings, in particular, the risk factors in our most recent Form 10-K and Form 10-Q for more information. All forward-looking statements reflect our opinions only as of the date of this presentation, and we undertake no obligation and specifically disclaim any obligation to update forward-looking statements. Also, all references to financial metrics that we make on today's call are non-GAAP, unless otherwise stated. Our GAAP results and GAAP to non-GAAP reconciliations is located in our earnings press release and in the presentation that accompanies today's remarks, both of which are posted on our Investor Relations website. Lastly, all references to growth are on a year-over-year basis unless otherwise noted. I will now turn the call over to Ken.
Ken Xie: Thanks, Peter, and thank you to everyone for joining today's call to review our second quarter 2020 results. We are very pleased with the solid second quarter performance. Revenue increased 18% to $616 million, with product revenue up 12% and service revenue up 22%. Secure SD-WAN climbed to 12% of total second quarter billings, the first time it's been over 10%. In today's environment, enterprise are focused on effectively and cost efficiently deploying security across their physical and digital network. To meet these challenges, Fortinet was founded on the vision of bringing security and networking together in what we refer to as security-driven networking. Gartner supports a similar concept, which they call Secure Access Service Edge or SASE. Fortinet is an industry leader in building, integrating and automating security product and service into Fortinet Security Fabric, including FortiSASE. With the recent acquisition of OPAQ Networks, Fortinet has enhanced its FortiSASE solution with expanded cloud delivery, including firewall as a service and Zero-Trust Network Access. Additionally, FortiSASE was built to be partner-friendly empowering MSPs and big global customers to easily integrate or build FortiSASE platform into their own offerings. A critical component of Fortinet Security Fabric platform is SD-WAN. We recently announced the new FortiGate 80F, which expand our SD-WAN portfolio for branch offices and work-from-home. The FortiGate 80F is powered by the latest FortiSPU SoC4 can deliver Security Compute Rating as much as 25x higher than industry average appliance using generic CPUs. According to Gartner, worldwide SD-WAN equipment market data for the first quarter of 2020, Fortinet has the highest revenue growth and was the top 3 for market share. We attribute this growth to our ability to deliver secure, high-performance SD-WAN anywhere from home to the branch to the cloud. Security investment remains a priority for enterprise and service providers, demonstrated by the strong growth of our high-end FortiGate appliance during the last quarter. Today, we released the FortiGate 4400F, the only firewall in the industry capable of securing hyperscale data center and 5G networks. Powered by the NP7 network processor, the 4400F delivers the highest performance with Security Compute Rating of up to 13x higher than our competition. The release of several new appliance powered by our latest FortiASIC SPU, together with cloud and software-based virtual machine to deploy security anywhere, we are able for Fortinet to capitalize on this investment and put us in a strong position going forward. Before turning the call over to Keith for a closer look at our second quarter performance and our guidance, I would like to take a moment to welcome the over 400 people who joined Fortinet during the second quarter as well as welcome OPAQ team who recently joined, and to thank our employees, customers and partners worldwide for their continued support to manage our response to the ongoing COVID-19 pandemic. Keith?
Keith Jensen: Thank you, Ken. Let's start the second quarter review with revenue. Total revenue of $616 million was up 18%, driven by non-FortiGate products and service revenue growth of 25%. Non-FortiGate revenue growth benefited from very strong demand for virtual machines and our work-from-home solutions. FortiGate product and service revenue growth was 16% and benefited from record levels of billings for our secure SD-WAN solution. To a large extent, our second quarter revenue growth, together with the backdrop of the COVID-19 pandemic, affirms the benefits of our diversification across geographies, customer segments and industry verticals. At the same time, it illustrates the level of revenue predictability in our business model. Our continued growth in this environment is a result of our strategic internal investments made to expand our global sales force, invest in our channel partners and extend our cost per performance advantage as we update our product offerings and penetrate adjacent security markets. Product revenue grew 12% to $212 million -- excuse me, $212 million, benefiting from strong demand for secure SD-WAN, high-end FortiGates and FortiGate virtual machines. Our work-from-home solutions continue to provide a tailwind to growth. Our growth rates and industry reports suggest we continue to take market share in both the firewall and SD-WAN markets, markets where we have contributed leadership and innovation.  Moving to service revenue. Service revenue grew 22% to $404 million, representing 66% of total revenue. Over 90% of service revenue was from deferred revenue at the beginning of the quarter and continues to support our revenue growth and predictability. FortiGuard security subscriptions revenue increased 22% to $223 million. FortiCare technical support revenue increased 22% to $181 million. The revenue mix shift from 8/5 support to our higher-priced 24/7 support was 9 points, with 24/7 support now representing 64% of the mix.  Let's shift to billings. Total billings increased 14% to $711 million. The total billing growth was negatively impacted by approximately 2 points by training and professional services and other miscellaneous products, which are products not classified as FortiGate, fabric or cloud. Earlier this year, we announced our decision to make our network security expert, or NSE, online training and certification program free to the public. While this decision resulted in a reduction in training billings and training revenue, we're very excited about the demand we are seeing with our NSE training. As of this week, the number of NSE registrations for 2020 is well over 500,000. And the number of NSE certifications issued is up over 200% to nearly 200,000.  Looking at billings by product segment. FortiGate billings increased 14% and accounted for 73% of total billings. FortiGate billings include our secure SD-WAN solutions. And as Ken mentioned a moment ago, SD-WAN passed over the 10% threshold for the first time ever, representing 12% of total billings. Non-FortiGate billings also increased 14%, with strong demand from our virtual and work-from-home solutions, offset by smaller contributions from switches and access points. And as I mentioned, billing declines for professional services, training and other miscellaneous products. Our geographic performance aligned with a path of the pandemic. And with it, highlighted the geographic diversification of our business, APAC being further along, outperformed all geos, followed by Europe while North America was impacted more. Our North America results include the United States, where we saw headwinds from the education and local government verticals where the COVID-19 pandemic remained an issue. By comparison, the retail segment was by far and away the strongest-performing U.S. vertical with growth well over 40% as we saw the continued expansion of the SD-WAN solution. The U.S. SMB segment provided strong growth, illustrating the strength of our U.S. channel programs, the remaining opportunity in this market and solid execution by our channel partners and the Fortinet channel team. Looking more at the Americas, our analysis and discussions with our channel partners suggest that certain transactions were delayed into the second half of this year as these companies focused on their capital structure and other immediate priorities.  Moving now to worldwide billings by industry verticals. The diversification of our business model was again on display with our top 5 verticals continue to account for about 2/3 of total billings. Worldwide government sector topped all verticals with 19% of total billings. Service providers and MSSPs accounted for 15% of total billings. Financial services with 14% of total billings had a very strong quarter with billings growth of 33%. And despite COVID-related concerns, the retail vertical posted worldwide billings growth of 27%, accounting for 10% of billings as it continued to benefit from SD-WAN and the strong U.S. performance I mentioned a moment ago. We saw strong growth in retail sub-verticals, such as drug stores, groceries and portions of the wholesale industry. At the end of the second quarter, total deferred revenue increased 24% to $2.3 billion. Short-term deferred revenue increased 24% to $1.3 billion.  Looking now at deals by dollar size. The number of deals over $1 million increased 28% to 59%. Secure SD-WAN accounted for 13 of these deals over $1 million. This performance illustrates our continued ability to move upmarket into the enterprise segment and the continued acceptance of our differentiated single unit, secure SD-WAN offering. Moving back to the income statement. As shown on Slide 4, gross margin improved 260 basis points to 79%. Product gross margin improved 340 basis points to 61%. Product gross margin continued to benefit from the lower cost structure of our newer generation of FortiGate products and over 40% growth in software products. Services gross margin increased 120 basis points to 88.5%, reflecting the benefit of the FortiCare revenue mix shift to 24/7 support. Operating margin for the second quarter increased 370 basis points to 27.3%, benefiting from the improvement in gross margin and lower employee travel and marketing program expenses related to the shift towards virtual events.  Total head count ended the quarter at 7,756, an increase of 23%, driven by the increased investments we've made to grow our business and reflecting a continued decline in sales and other attrition rates. With our continued growth, strong operating margins and free cash flow, we do not anticipate any COVID-19-related layoffs in the foreseeable future. In fact, we plan to capitalize on our many opportunities by continuing to hire and invest in our balanced growth strategy. Given the strong operating income performance, net income for the second quarter was $135 million. Our earnings per diluted share increased $0.24 to $0.82 per diluted share. On a GAAP basis, we reported net income of $112 million or $0.68 per diluted share versus GAAP income of $73 million or $0.42 per diluted share a year ago.  Moving to the statement of cash flow summarized on Slide 7 and 8. Free cash flow increased 21.5% to $216 million. The average contract term in the second quarter continued to be within the range we provided at the Analyst Day, declining 1 month year-over-year to 26 months and moving up 1 month sequentially. As we stated on the first quarter call, we expected to leverage the strength of our balance sheet as a competitive advantage to support our partners and our customers. Average contractual payment terms increased to 62 days or 17% sequentially, in line with our expectations and reflecting our decision to provide geographically targeted extended payment term plans. Capital expenditures for the second quarter were $31 million, including $21 million related to construction and other real estate activity. We estimate capital expenditures for the third quarter to be between $50 million and $60 million and for all of 2020 to be between $165 million and $185 million. Delays related to the new campus building have moved a portion of the previously expected 2020 CapEx spending into the first half of 2021. We expect full year cash taxes to be approximately $40 million, and our full year non-GAAP tax rate to be 22%. In the second quarter, we repurchased approximately 1.4 million shares of our common stock for an aggregate purchase price of approximately $146 million. In July, the Board authorized an additional $500 million for our share repurchase authorization and extended the term to February 2022. As of today, the remaining share buyback authorization is approximately $1 billion.  Before moving to guidance, we wanted to offer some additional thoughts related to the ongoing COVID-19 pandemic. We have and we plan to continue leveraging the strength of our balance sheet, which may increase DSOs and inventory levels. The economic and business impact of the pandemic seems in line with the ability of different countries and geographies to reopen and avoid temporary shutdowns and uncertainty. For example, after strong billings growth in April, we saw slower growth as we completed May, then followed by a bounce back to strong growth in June and again strong in July. At the same time, the remaining Q3 pipeline points to a good level of improvement in both the U.S. and worldwide. In the second quarter, our channel partners reported some deals being delayed into the second half of the year. The concept was delayed, not lost, seems supported by the increases in our pipeline as well as with July selling activity. Clearly, there remains an elevated level of uncertainty about future -- about future pandemic events and economic conditions.  As we look forward, I'd like to review our outlook for the third quarter, summarized on Slide 9, which is subject to the disclaimers regarding forward-looking information that Peter provided at the beginning of the call. In the third quarter, we expect billings in the range of $705 million to $730 million; revenue in the range of $630 million to $645 million; non-GAAP gross margin of 78% to 79%; non-GAAP operating margin of 25.5% to 26.5%; non-GAAP earnings per share of $0.76 to $0.78, which assumes a share count of between 168 million and 170 million. We expect a non-GAAP tax rate of 22%. For 2020, due to the continued uncertainty associated with the economic impact from the COVID-19 pandemic, we are not issuing full year guidance at this time.  And finally, along with Ken, I'd like to welcome all the team members who have joined us, including the OPAQ team. I'd also like to thank our partners, customers and the Fortinet team for all their support and hard work during these difficult and unique times. I'll now hand the call back over to Peter to begin the Q&A.
Peter Salkowski: Thank you, Keith. Chris, we would like to open the line for questions, please.
Operator: [Operator Instructions] And our first question comes from the line of Rob Owens with Piper Sandler.
Robbie Owens: I want to start on the SD-WAN side of things and the success that you're obviously seeing there through the metrics now over 10% of billings. But just what that pipeline looks like. Have you seen more of a rush given COVID work-from-home and the opportunity to replace a lot of these conditions relative to branch types of solutions? Or are you seeing as much of robust demand, I guess, in that forward pipe?
Ken Xie: I think it's SD-WAN is a long-term benefit for both enterprise and also SMB and because it's also lower the cost of connect to the Internet. At the same time, make it more efficient. And for us, also building with ASIC security together, so they can also have additional secured additional benefit and cost much lower compared to some other competitors. So the market grew about 50% year-over-year. So we see a lot of potential, a lot of pipeline. We do believe we're keep on gaining market share because our solution is a very unique, huge advantage compared to other competitors. And with additional sales capacity we added, like we add head count, 23%. Even during the pandemic, take a little bit more time to train the new sales people, and then they maybe take a little bit more time to gain a new customer, but we do see a huge potential going forward.
Robbie Owens: And then secondarily, I guess, focusing on the SASE opportunity and some of the dialogues on previous calls, maybe you could touch on the OPAQ acquisition. Was this customer driven? Was this opportunistic from your perspective, offensive, defensive?
Ken Xie: We have this FortiSASE, like I mentioned, even in the last time earnings call, and we do believe it's a part of the whole infrastructure. So as the cloud delivery, we already have some other cloud delivery, but OPAQ definitely keep enhances, and we're making more broad, more flexible for customer, for the partner to leverage the product infrastructure we're building. And so we do see this already and hence, the offer we have. And at the same time, we do have the broadest offering both on the platform and also on the function and also on kind of different form of deployment compared to other competitors we see is keeping ahead our position.
Operator: And our next question comes from the line of Fatima Boolani with UBS.
Fatima Boolani: Maybe a bigger picture question for you. The combination of SD-WAN adoption in a more durable work-from-home environment -- maybe as giving investors the sense and perhaps it's misplaced. But giving investors a sense that the traditional enterprise branch office is potentially at risk from either a refreshed footprint perspective and a cannibalization perspective. So I'm wondering if you can help us parse through sort of some of the puts and takes as to what happens to your branch office footprint and what some of those misconceptions might be as customers adopt SD-WAN and or stay at home more permanently in shelter in place situation? And then I have a follow-up for Keith.
Ken Xie: The enterprise also, including some branch profits we do see some slowdown especially in the U.S. But it's -- on the other side, if you look at our product, which come out like the SoC4 come out 1 years ago, we started building a product like from 100F to 60F for the 40F, then we just announced 80F last week. So we can see the ramp-up, especially in the SMB, including the U.S., as it go up like over 40%. It's very, very strong. Internationally, we're a little bit behind on the U.S. to adopt some new products, including some -- both the low end using SoC4 and also the high end NP7, which is starting to release about like early this year and so starting to ramp up. So that's why we see the benefit of the new product, which easily have a performance like 4x, 5x better than the same cost, which we use in the - - we call security compute rating to benchmark compared to the other competitor is a huge advantage. So we see -- when we have the new product growth that come up very quickly after the testing evaluate on top of the product. But on the other side, the SD-WAN also gave the additional cost benefit, together with the new product cost performance benefit. So that's what helping driving the SMBs. We see it starting growing quite well. Also last quarter, after we announced the high end product, like 1 to 2 quarter, we starting to see the high end also starting to ramp up leverage NP7. So that's the trend. And I do believe sometime enterprise takes a little bit more time during this pandemic to do some deployment. But we do see a lot of evaluation going on. We do see some other interest, including combined, we call security networking together, we call secure-driven networking set the whole infrastructure. That's why the sales probably were more engage into the networking team. And also traditionally, more sales to security. Now as the networking team also starting engaged together with us to call secure-driven networking. So as we see the trend going on quite well. And also, like Keith mentioned, it's region by region, right? So it's a APAC staring to grow more very quickly, over 20%. And simply the pandemic kind of the situation maybe better recover a little bit better. And then we also see Europe probably also growing over 10%. The U.S. is a little bit slow, but we do believe later this year, next year that vaccines over, with the new product lineup, with the additional sales capacity we build, which we'll continue to invest, where we see very, very strong potential going forward.
Keith Jensen: Yes, Fatima This is Keith. I think Ken does a great job of covering off some of the diversification considerations, whether it's by geographies and where different geographies may be and also by verticals. But it's also important to note that SD-WAN is also a significant component of SASE also for work-from-home solutions.
Fatima Boolani: Fair enough. And Keith, since I have you, any comments on the billings performance, specifically this quarter? And just double-clicking in Q4 to get gate billings because that includes both your traditional sort of network security perimeter security and the secure SD-WAN piece. I'm wondering if you can kind of qualitatively talk to sort of what drove the bus this quarter and how you're thinking about the secure SD-WAN versus non-secure SD-WAN, Fortigate pipeline for the remainder of the year and what's baked into your 3Q guidance? And that's it for me.
Keith Jensen: A lot of topics, Fatima. Maybe I'll start with the last one in.
Fatima Boolani: I tried.
Keith Jensen: I know you do a good job. Look, I think when we look at the pipeline for Q3, which is what we've guided to, I think we feel very good about the SD-WAN opportunity. Clearly, we saw it perhaps, in the U.S. in the month of May a bit of a pause, maybe some projects that were -- as we got towards the end of May. But clearly, as we exited Q2 and we've moved into Q3, we can see that our customers are making plans to continue moving forward their SD-WAN build-outs. And the additional opportunities that we see in the pipeline made us, let's just say, comfortable talking about crossing over that 10% threshold for the first time. Now we'll see how it actually comes into play. And I think I lost track of some of your earlier comments, I'm sorry.
Operator: And our next question comes from the line of Shaul Eyal with Oppenheimer.
Shaul Eyal: Congrats on the quarter. Keith or Ken. So U.S. was the fastest region this quarter. Next week, we'll mark the middle of the quarter, the third quarter. Can you talk to us about the performance so far within the U.S.? What's the pipeline is looking like?
Ken Xie: We do see some enterprise customer has a good interest about SASE and just like some other cloud or some other platform of deployment infrastructure. So that when we make it as the whole infrastructure security offering. And the dollar or the amount of revenue are still relatively small, which may not impact much of the total billing of revenue there, but there's an interest about this and make it -- so customer want us make sure has some kind of flexibility and also broad offering. So that's where we see the OPAQ acquisition keep enhance what we have on the FortiSASE and also offer more broad, both on the product and the deployment on the infrastructure side to meet customer demand.
Keith Jensen: Yes. And I would add to Ken's comment. Just pulling back and looking at it even maybe a little more broadly and to the comments that were made in the prepared remarks, we were very pleased with what we saw in terms of July selling activity and the pipeline build worldwide as well as in the U.S.
Ken Xie: Yes. At the same time, like we said, we're also keep on supporting our partner, including the service provider and even some big global customers, they also want to build in their own SASE to just like the cloud. Sometimes they have the private cloud or the leverage public cloud or the hybrid cloud. So it's a similar thing we're seeing here in SASE, which we're also supporting the partner, the customer try to have their own version of SASE, which is based on the service of zero-trust infrastructure to deploy some security function.
Operator: And our next question comes from the line of Sterling Auty with JPMorgan.
Sterling Auty: You mentioned continued tailwinds from work-from-home, but we have seen the growth rate on the product side and to a certain extent, the billings ex the adjustments you mentioned start to fade. So I guess my question is, do you expect that those trends can continue on for multiple more quarters? Or do we face further deceleration in the back half as some of the work-from-home tailwinds fade further?
Ken Xie: We do see the enterprise service provider, the high end continue to grow maybe because the new product is announced early this year. And also some SMB, some other part also have very healthy growth. And also, even some of the product target for work-from-home continue to grow in, like we mentioned, FortiToken, FortiAuthenticator and some other products. So it's probably not as a rush buy like we're experiencing some back in March, but it's still pretty strong above the total network security growth.
Sterling Auty: Okay. And then one follow-up. We've heard from multiple companies about accelerating digital transformations. How did the digital transformations and shift to the cloud impact your business either positively or otherwise?
Ken Xie: Yes, we see pretty strong in the retail, right? So if retail, they can order online, they can do whatever deliver or some other -- definitely, they have a lot of benefit. So that's where we see very strong growth in retail, probably benefit from the digitalization and some other vertical or even some other regions have a sort of similar sense. And especially, we said that's what we call the security-driven networking, its combined security networking together. And even the sales, traditionally, they're more engaged with the security team. Now they see a lot of interest from the networking team, partially because SD-WAN is part of FortiGate function, but other party do see it needs to into the networking and security working together, whether the [indiscernible] or the SoC combined together, is also a trend there. So that's where we see quite a good progress combined the security network together, which we designed from our beginning, not just SD-WAN, including Wi-Fi. But Wi-Fi a little bit slow right now because especially enterprise offered in the office, not many people work in the office, but we do see a lot of interest continuing in that direction. And also the 5G, we see very, strong increase in ramp up.
Operator: And our next question comes from the line of Brian Essex with Goldman Sachs.
Brian Essex: Keith, I was wondering maybe if you could hit a little bit more on billings, maybe a little bit softer than we had expected in the quarter and then kind of a nice guidance for next quarter. Maybe some of the dynamics behind that. And in particular, I'm interested in large deal dynamics, particularly U.S. financial services, where we've heard about some weakness in the quarter. I understand retail is really strong, but maybe a little bit more color on that and how it might impact billings.
Keith Jensen: I think the financial services strength that we saw in the quarter was outside of the U.S. Obviously, New York got hit. Northeast got hit pretty hard with the pandemic in the second quarter. And so that financial services growth number that we gave on billings, I think, it was 33%. That's really an international growth number, and it kind of speaks to the diversification of the business. And we've talked before about our diversification that the U.S. represents maybe 25% to 30%. Obviously, our largest country, but not a majority as it is with some other businesses. So we did feel the effect, particularly towards the middle part of the quarter there with some of the things that were happening and the uncertainty in the U.S. on our total numbers, but we are very pleased with what we saw, as I said earlier, related to Asia Pacific and the rest of the world.
Ken Xie: Yes. The other part, really, starting to make the second half of last year, we started in May, the second half of last year we started to ramp up the high-end ad sales capacity, additional market in lead gen -- and then the pandemic actually slowed down some of the new sales, I mean, become like more productive or whatever reach the productivity level for what we expect. At the same time, some of them maybe take a little bit longer time to reach the new customer, especially in the U.S., we do have quite some sales capacity. That's actually the pandemic slow since down a little bit, but with the additional hiring, with additional new product position we have, we do believe once the pandemic starting to get better, especially in the U.S., we will see very strong growth potential.
Brian Essex: Got it. Maybe, Keith, just a quick follow-up quickly. Nice cut in cash flow in the quarter, better than we thought. Maybe some of the puts and takes outside of billings and change in deferred that drove that and outlook for the rest of the year from -- particularly from a working capital perspective.
Keith Jensen: Yes. I think the other part of it is that collections are very strong, and I applaud the collections team for the great job that they did, working with our channel partners to bring the cash in. I think we were perhaps a little more successful in that than we planned. Yes. I think when you look at our free cash flow numbers, you're going to get from quarter-to-quarter a little bit of volatility because we try not to over manage the timing of payments and things of that nature. So it's probably better to look at a couple of quarters stringing those together to look at terms. But in terms of the key drivers, yes, it's billings. You can get something with inventory and payables. But I think the margin part of that really is a large driver. That outperformance on the margin line really manifests itself in many ways, one of which is in the free cash flow.
Operator: Our next question comes from the line of Hamza Fodderwala with Morgan Stanley.
Hamza Fodderwala: Keith, I just wanted to dig in a little bit on the comments that you made around some of the sales cycles towards the end of the quarter. I'm wondering if how did those deal cycles progress toward late in Q2. What, if any, deals sort of had slipped out in Q3? And whether or not those have been closed so far in July?
Keith Jensen: Yes, fair question. And I think the thing that we've seen with the pandemic, and I'll pull this up a little bit, if you go through the guidance setting process, obviously, you'll start with the pipeline, and then you start making certain assumptions about the close rate. And while we felt good, I felt good about what I was seeing in April, nonetheless, we made some adjustments to our expected close rate in the quarter for the second quarter. And as we got to kind of leading to your question, the last week of the quarter, I think we saw perhaps a few more deals that did not get the final signature that we expected them to get. And then your follow-on part of your question is, what are we seeing in July, and that's why I'm making the point that I think I'm very -- we're very pleased with what we're seeing in terms of July of sales activity, whether you measure it base on growth or linearity against our target as well as the pipeline and as well as considering what we might call pandemic-related close rates.
Hamza Fodderwala: Got it. Got it. And just a follow-up question, if I may. On the government vertical, obviously, that's a big one for you. Could you comment a little bit about on how that grew from a year-on-year perspective? And what you see in the pipeline, especially with the U.S. federal close coming up?
Keith Jensen: Yes. So keep in mind, our U.S. Federal business -- our federal business is -- our government business, excuse me, it has 3 components. It has a U.S. Fed, it has international governments and it has state and local governments. And I would say that the performance was strong across at about 26% growth, 25% growth, but that was not driven by state and local government. State and local government suffered. And then the U.S. Fed part of our business is not a huge part of our business. So you're really looking at, while the U.S. Fed did well, we had nice, very attractive growth internationally with our government segment.
Operator: Our next question comes from the line of Brad Zelnick with Crédit Suisse.
Brad Zelnick: You guys continue to execute well, putting up better results than your nearest competitors. And the diversification of your business is on full display this quarter, which is great to see. Can you comment at all just in terms of the competitive dynamic that you're seeing out there? And maybe anything that you can share in terms of the pricing dynamic as well?
Ken Xie: Yes. I think with the -- like a 73% business come from FortiGate. So with the new release of like today, the high-end and most high-end product to support hyperscale. So we see the performance that keep increased as we are getting much better, better and at the same time, in the last few quarters, the SoC4-based like from 60F to 80F to 100F 40F, we're also starting to see huge investment of growth in the field, especially, you can see the SMB, they usually buy this low-end SoC-based product also is growing quite well. So that's where from the product we see because we're keeping investment high in this ASIC, which has a much better computing power and a security function compared to the general purpose CPU, so the recorded security compute rating come from like 25x better to like today's products like 13x better than the competitor. It's a huge advantage and plus additional function like SD-WANs and other parts. So we see a quite a huge advantage and more gap compared with competitor. They probably will keep on pushing some software or some other form of deployment, which because it did have a difficult time competing with us into this appliance or some other base. But for us, also, we're positioned to have the whole infrastructure solution, not just the appliance base, but also in the cloud and in the software base, and then also offer different kind of deployment, different kind of service. We also see quite good healthy growth from that angle. And that's where the -- we call the fabric approach, the fabric solution. Amount of revenue is still like almost double compared to FortiGate growth. So we still see pretty healthy like once you get in leverage of FortiGate, then we can more easy to expand into the other non-FortiGate growth. So that benefit the fabric advantage still keeping help us grow faster above-average because it's really -- the consolidation is still the -- still is the trend in the whole industry there. So customers want to reduce the management cost. They prefer to consolidate some of the vendors, which we started to see more benefit for us because most product function, we do develop in-house, which make it integrate and automate on day 1 compared to some other competitive dependent acquisitions, more difficult to integrate and automate. So that's what we see is we continue to invest long term both on the product technology infrastructure side, and we do believe it's a long-term gain. And so that's where so we're keeping gaining market share. And we do see the gap bigger, and we have more advantage right now.
Keith Jensen: Yes, Brad, it's Keith. I would continue on what Ken's comments there a little bit. And keeping in mind, I made a reference to it in the text that we're seeing a new cost advantage evolved within the E-Series, and we expect it to continue with the F-Series. I mean I think that the company can has done a tremendous job with the ASIC Advantage of driving down the cost in subsequent generations of the chip at the same time, driving up the performance. That gross margin performance that I mentioned earlier in the script, that actually came with it with just a small headwind with discounting for the first time. And you may have been asking a discounting question. Discounting is the first time we've seen that in several quarters, about 0.5 point, if you will, perhaps increase in discounting. But that cost structure that's coming with the ASIC Advantage that I made reference to is more than enough to outweigh that.
Brad Zelnick: Thank you both so much for the very thorough answers. And I would just say that the competitive differentiation of your strategy continues to shine through. Congrats.
Operator: Your next question comes from the line of Walter Pritchard.
Walter Pritchard: Two product questions. First, just on the -- I think last quarter, you had some real strength in the remote access, things like authenticators and tokens. Just curious how that continued into this quarter. And then also on the SASE side, when are you talking about having an integrated SASE SD-WAN product in the market?
Keith Jensen: I'll take the first one. In very round numbers, I would say, if I got a benefit of, call it, very round numbers, $10 million in the first quarter. I probably got half that benefit in the second quarter on those 3 work-from-home products.
Ken Xie: Okay. The SASE we're offering them to the customer to the partner this quarter, and it's part of what we call the fabric FortiSASE solution. And we do see the interest both from the existing customers, from new customers. And at the same time, a lot of our service provider partners are also very interested in this. And even some global customers, they also want to build their own version of SASE, which we are also supporting them behind.
Operator: Our next question comes from the line of Tal Liani with Bank of America.
Tal Liani: My question is more general about the market. The data shows that the firewall market has been slowing down tremendously in the last few quarters, 6 or 7 quarters of decline. What is your experience with the market? I'm trying to understand if your continued growth is a question of continued share gain or new products that are compensating for firewall weaknesses. So what's your view of the overall market and the drivers for firewall demand in the market?
Ken Xie: Yes, the traditional firewall, they're more secured, we called the border [ph], which is positioned between the internal network LAN and also the Internet. That part is, like I say, there's a -- no longer enough. There's a multiple way you can bypass that and also a lot of application, a lot of -- since also go beyond the company network, they go to the cloud. They go to some other part like mobile access. So that's where the traditional firewall where we do see the growth slowdown. That's where we keep expanding beyond like we expand the WAN and that's we call security-driven network in that space and even building of the FortiGate and make it part of the WAN solution and also part of cloud solution. At the same time, internally also expand total internal segmentation, like with the switch, with Wi-Fi access point. That part is also growing very, very well and quite strong. And so like I said is we keep in saying now, we say it's a third-generation of network of security infrastructure from the traditional connection base to when we formed Fortinet. We called it content application-based security. And now it's more like the whole infrastructure security including both the traditional gateway and also go to the Internet and the WAN connection, cloud solution and the SASE, at the same we can go internal for the segmentation for the switch for the Wi-Fi, it's the whole new enterprise, the end point of different application. So it's the whole infrastructure security, we feel is a new trend, which we prepare all this using the fabric, using ASIC, increase the computing power to address the network speed issue. We keep in doing this in the -- for about 20 years since we found the company. So we're starting to see the investment we made, whether from ASIC, from the technology from the product side, from the infrastructure side, starting more benefit us and differentiate Fortinet compared to some other competitors, still relatively. It's the same approach compared to the early day of network security. So that's what we see as a gap and the advantage we have is kind of bigger and bigger going forward.
Tal Liani: Got it. And the migration to SASE, isn't it going against your core offering?
Ken Xie: No. It's a part of the whole infrastructure security and like SD-WAN because for the SASE is really, you need the access to it, right? So that's where SD-WANs and other parts really have a good way to access that. So we are built in into the FortiGate and has huge performance and functional advantage. And at the same time, the service model leverage, the infrastructure we have, the customer base we have, that's where the OPAQ acquisition keeping enhanced this part. So that's what we address some of the new things the customer need. And at the same time, the partner also see how we can like working closely with them to supporting the customer better, give them the additional flexibility no matter what kind of format of security form that they want.
Operator: [Operator Instructions] And our next question comes from the line of Amit Daryanani with Evercore.
Amit Daryanani: I guess first one, you guys mentioned a couple of times about certain deals just getting pushed out from June into the September quarter. Any sense you could give in terms of the deal size or the verticals where you saw this happening? And I guess if you didn't have any of these issues, what would the June quarter revenue look like?
Keith Jensen: I don't know if there was a common -- well, first of all, large deals for us, it would be $1 million, right? They're not $10 million, $20 million or $30 million deals. So you're probably looking at some number of those transactions that moved. I don't know that there was a common theme in terms of verticals, if you will. I do think that it was a bit more of a challenge in the U.S. than it was in other geographies on that close rate for the last week of the month -- or the last week of the quarter.
Amit Daryanani: Got it. And I guess, last quarter on this one, you've talked some amount about perhaps using your financial strength as a way to essentially accelerate your share gains. Could you just touch on what impact would that have in your free cash flow or even your margins perhaps? Just want a sense -- just trying to get a sense of how much are you willing to flex your model? And what sort of share gain aspirations would you have from these dynamics that you would take on?
Keith Jensen: Yes. There's probably 3 places that you could see. One is looking at the inventory because we're -- in this environment, we'd like to keep a little more inventory on hand. And so when you look at the inventory turns, I think the number was 2.2 in the quarter, and that's probably down about 1. And so you can do some math there and quantify it. You can also look -- the second place you would see it is on the extended payment terms. We provide the metric of what our contractual payment terms were as of at the end of the quarter, which I think was 67 days, and that's up 17%. The third place that we can flex a little bit is on discounting, and I kind of covered that a moment ago. That while discounting in the current economic environment is a fact of life, and we did have a slight increase in discounting, for us, it was outweighed by the structural difference in our cost structure, which more than outweigh it.  So, in terms of flexing our balance sheet and looking at the cash flow model, if you will, I think the key place for inventory and then looking at the collections.
Peter Salkowski: And just one correction on the contractual payment terms, it was 62 days.
Keith Jensen: I'm sorry. I'm happy. I'm happy it's only 62.
Operator: And this does conclude today's question-and-answer session. I would now like to turn the call back to Peter Salkowski for closing remarks.
Peter Salkowski: Thank you, Chris. I'd like to thank everyone for joining on today's call. Fortinet will be attending the following virtual investor conferences during the third quarter. We'll be doing the Oppenheimer conference next week on August 11; the Citibank conference on September 9; and the Colliers Securities conference on September 10. Event presentations will be webcast and links from these webcasts will be available on the Investor Relations website of the Fortinet IR site. If there are any follow-up questions, please feel free to contact me. Have a great rest of your day. Thank you very much. Have a good day. Take care. Bye-bye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.